Operator: Welcome to the Anheuser-Busch InBev Fourth Quarter and Full Year 2020 Earnings Conference Call and Webcast. Hosting the call today from AB InBev are Mr. Carlos Brito, Chief Executive Officer; and Mr. Fernando Tennenbaum, Chief Financial Officer. To access the slides accompanying today's call, please visit AB InBev's website at www.ab-inbev.com and click on the Investors tab and the Reports and Results Center page. Today's webcast will be available for on-demand playback later today. At this time all participants' have been placed in a listen-only mode and the floor will be opened for your questions following the presentation. [Operator Instructions] Some of the information provided during the conference call may contain statements of future expectations and other forward-looking statements. These expectations are based on management's current views and assumptions and involve known and unknown risks and uncertainties. It is possible that AB InBev's actual results and financial condition may differ possibly materially from the anticipated results and financial condition indicated in these forward-looking statements. For a discussion of some of the risks and important factors that could affect AB InBev's future results, see Risk Factors in the company's latest annual report on Form 20-F filed with the Securities and Exchange Commission on the 23rd of March 2020. AB InBev assumes no obligation to update or revise any forward-looking information provided during the conference call and shall not be liable for any action taken in reliance upon such information. It is now my pleasure to turn the floor over to Mr. Carlos Brito. Sir, you may begin. 
Carlos Brito: Thank you, Maria, and good morning, good afternoon, everyone. Welcome to our fourth quarter and full Year 2020 earnings call. I hope you and your families are staying safe and well. First and foremost, I would like to personally thank all of our colleagues for their ongoing efforts and commitment to ensure business continuity and a strong recovery through this challenging time. Before I go into detail about the results of 2020, I want to acknowledge that this was undoubtfully a difficult year for our colleagues, our communities, our partners and our business. However, it also illuminated that the fundamental strength of our business are true competitive advantage that position us for the long term. Our commercial strategy gives us the tool kit to lead and grow the global beer category and scale best practices around markets. We're reaching more consumers on more occasions with the world's most valuable portfolio of beers, enhanced by a revamped innovation process. We're leading the way in digitizing our relationships with our more than 6 billion customers and more than 2 billion consumers with investments we have been making for years in B2B sales, e-commerce and digital marketing. We have a diverse geographic footprint with operations in close to 50 markets and sales in over 150 countries and significant exposure to high-growth regions. Our profitability is industry leading, allowing us to weather extreme disruption while continuing to invest behind our strategy. Most importantly, we have a culture of ownership and a long-term mindset. Our colleagues across the world are rising to the challenge each day, demonstrating ingenuity, passion and resilience. One of the things I'm most proud of was how quickly our teams stepped up to help our communities in creative and impactful ways. Our beers are almost entirely sourced, brewed and enjoyed locally, deeply connecting us to the communities in which we live and work. This means we must lead the way in supporting the fight against the pandemic and doing our part in the economic recovery. In 2020, we produced and donated millions of units of hand sanitizer in over 20 countries and emergency drinking water in over 10 countries. We mobilized our fleets of trucks in Colombia, Peru and Ecuador to deliver essential food and medical supplies. We helped to enhance critical health care infrastructure, including four new hospitals in Mexico, Brazil, Colombia and Peru, and a vaccine factory in Brazil. To support and empower more than 20,000 direct farmers in our global supply chain, we fulfilled commitments to purchase crops in markets, such as Mexico and India, even when our brewing operations were shut down. In the U.S., we collaborated with our sports partners and the American Red Cross to convert stadiums and our own tour facilities into temporary blood drive centers. We'll continue to partner closely with our stakeholders across our value chain to support the recovery, as we believe a sustainable recovery can only be achieved when we work together. Now let me take you through the results of the fourth quarter and full year, including highlights from our key markets. I'll also elaborate on our commercial strategy including our digital commerce platforms and provide you with an update on our better world agenda. I will then hand it over to Fernando to take you through our financials. We'll then be happy to answer your questions. Let's start with the results and key takeaways from the fourth quarter. We delivered a strong fourth quarter in the context of an ongoing complex environment. We delivered total volume growth of 1.6%, own beer volume grew by 1.8%, while our non-beer business grew by 1.7%. Our revenue grew by 4.5%. Revenue per headquarter grew by 2.7%, supported by revenue management initiatives and premiumization, partially offset by adverse channel and packaging mix related to the impact of COVID-19 restrictions. Top line growth was offset by higher costs as we rapidly adjusted our supply chain to meet evolving demand and as we increase investments in line with improving volumes, resulting in an EBITDA decline of 2.4%. While our EBITDA margin contracted by 261 basis points, this still resulted in a healthy margin of 39.7%. Let me now tell you about the results of the full year. While we started the year with good momentum, our overall results in 2020 were significantly impacted by the disruption caused by the COVID-19 pandemic. While the first half of the year was extremely challenging, we were able to pivot quickly to deliver volume growth in the second half of the year, as you'll see on the right side of Slide 9. On a full year basis, revenue declined by 3.7%, as the volume decline of 5.7% was partially offset by revenue per hectoliter growth of 2.1%. Our own beer volumes were down by 5.8% and non-beer volumes were down by 3.8%. Our EBITDA declined by 12.9%, with EBITDA margin compression of 382 basis points to 36.9%. Our underlying EPS decreased to $2.51. We ended the year with a net debt to normalized EBITDA ratio of 4.8 times as our results were substantially impacted by the COVID-19 pandemic. We remain committed to deleveraging as this constitutes a powerful lever for value creation. The Board has proposed a full year dividend of €0.50 per share for fiscal year 2020. Let me now take you through the highlights from our key markets. In the U.S., top and bottom-line growth was driven by the consistent execution of our consumer-first strategy focused on premiumization, health and wellness, and innovation. We also delivered continued market share trend improvements, with a slight decline of approximately five basis points in 2020. Our above core portfolio outperformed once again, led by the continued momentum of Michelob ULTRA and the success of innovations such as Bud Light Seltzer. We're committed to win in the fast-growing seltzer segment with a portfolio approach, enhanced by recent innovations such as Michelob Ultra Organic Seltzer and Bud Light Seltzer Lemonade. In addition, we delivered flat market share within the mainstream segment in 2020 as we continue to successfully execute our social priorities. In Mexico, our business recovered quickly from a two-month government-mandated shutdown of our operations to deliver strong results in the second half of the year. We significantly outperformed the industry once again in 2020 and delivered healthy revenue per hectoliter growth ahead of inflation. We continue to enhance our commercial footprint with more than 600 new locations of our own retail store, Modelorama, and our continued expansion into the country's largest convenience store, OXXO, making our brands available in more than 7,700 stores by the end of the year. In addition, our proprietary B2B platform, BEES, more than doubled in size throughout the year. In Colombia, our results in 2020 were heavily impacted by stringent COVID-19 restrictions, though we finished the year with good momentum across our portfolio. Each month in the fourth quarter was marked by our highest-ever monthly beer volumes in the country. Our premium portfolio proved incredibly resilient, led by our global brand portfolio, which grew by high teens in 2020. Our beer business in Brazil delivered a strong top line performance this year in a challenging environment. We grew beer volumes in both the year and the fourth quarter, gaining market share in both periods according to our estimates. Our premium portfolio outperformed the industry. We stabilized the performance of our core brands, and we delivered highly successful innovations, such as Brahma Duplo Malte. We continue to advance the digital transformation of our business with the accelerated expansion of BEES and direct consumer initiatives, such as Zé Delivery, which fulfilled more than 27 million orders in 2020. In Europe, our performance was impacted by ongoing COVID-19-related restrictions, particularly in second and fourth quarters. Nevertheless, we gained market share in the majority of our markets in 2020 with a strong performance from our premium brand portfolio. In South Africa, our business was significantly impacted by three outright bans on the sale of alcohol over the course of 2020, which resulted in double digit volume, revenue and EBITDA declines and significant EBITDA margin contraction. Outside of these bans, we saw solid underlying consumer demand for our portfolio throughout the year. In China, our business was heavily impacted by COVID-19-related restrictions from February through April then recovered swiftly throughout the remainder of the year. Premiumization continues to be a key driver of growth. Additionally, we estimate that we maintained our leadership of the beer category in the e-commerce channel, with an estimated market share more than twice that of the next brewer. Our global brand portfolio returned to growth and outperformed in the second half of 2020, with revenue up by 4.7% outside of their home markets where they command a premium. Budweiser grew by 5.8% outside of its home market of the U.S. in the second half, led by China, Brazil and the U.K. Stella Artois grew by 6.4% outside of Belgium in the second half as it promoted the in-home meal occasion and achieved strong results in several key markets, including Brazil and Argentina. Corona increased by 1.2% outside of Mexico in the second half, with growth in the majority of its markets. In summary, we finished the year with good momentum through consistent execution of our commercial strategy. Consumers are at the center of everything we do. Our diverse geographic footprint spans markets of varying maturities. Our market maturity model gives us a roadmap to understand how occasions and consumers evolve. Occasions become more fragmented and diverse as markets mature, demanding a portfolio approach to effectively meet consumer needs. For example, the number of brands required to reach 80% of beer volume in a late-stage maturity market is more than 10x that of an early stage maturity market. Additionally, the number of brands within a consumer's consideration set in the late-stage maturity market is more than double that of an early stage maturity market. Since the combination with SAB in 2016, we have used the category expansion framework to build a robust portfolio of core lagers, premium beers, craft and specialties, smart affordability offerings and beyond beer adjacencies. 2020 validated the importance of having a superior portfolio of leading brands, enabling us to deliver market share gains in the majority of our key markets. We continue to lead the lager space with our unmatched portfolio and successful innovations, such as Brahma Duplo Malte. It is the absolute leader of the core plus segment in Brazil, and we are expanding the double malt offering to seven new markets in 2021. We are a leader of the core plus segment globally with brands like Michelob ULTRA, Modelo Especial, Club Colombia and Harbin Ice. In the U.S., Michelob ULTRA grew by more than 20% and holds the number two position by value in the beer category. We're the leading premium brewer in the world and have been gaining market share in this segment for three consecutive years. Budweiser, Stella Artois and Corona are three of the top five most valuable beer brands in the world and reached more than $10 billion of revenue in 2020, representing more than 20% of our total. We also began scaling craft and specialty brands around the world several years ago through a combination of organic and inorganic initiatives. Today, we have the world's largest portfolio of craft and specialty brands. We have gained consistent market share on a global basis in craft since 2015, and we'll continue to enhance our portfolio as the category evolves. On the other end of the price spectrum, our smart affordability initiatives, such as our local crop beers in markets including Brazil, Peru, Ecuador and Uganda are drawing new consumers into the beer category, while also serving our communities by supporting local farmers. Our beyond beer portfolio continues to drive growth, with our total adjacencies reaching well over $1 billion in revenue and growing strong double-digits in 2020. In the U.S., the largest beyond beer market in the world, our hard seltzer, canned wine and canned RTD cocktail offerings grew, on average, double their respective segments in the fourth quarter. As a highly mature market, the U.S. provides us with valuable learnings that we can scale across our global footprint. We have been strengthening our beyond beer positioning in other markets with offerings such as Skol Beats in Brazil and recently, Michelob ULTRA Seltzer in Mexico. Our portfolio today has a significant presence in spaces where consumers are going, such as premium, health and wellness, convenience and authenticity. We have developed and are continuously enhancing our portfolio to meet evolving consumer needs, positioning us well to capture long-term growth. To drive long-term growth, we have to go where our customers and consumers go. To unlock the full potential of our brand portfolio and truly excel and service level and execution, we have been making investments for several years in digital commerce platforms. Our proprietary B2B platform, BEES, combines our best-in-class logistics and sales systems with new digital capabilities and connectivity, allowing us to provide customers with convenience, seamless communication and enhanced business performance. BEES empowers our customers through offerings tailored to their particular needs, user-friendly communications and visibility of logistics and delivery. This propels us to be truly customer-centric. The more we know our customers, the better partners we can be in driving mutually beneficial growth. The results are powerful. Gross merchandise value from BEES reached well over $3 billion in 2020, with revenue growth accelerating throughout the year. In December 2020, BEES had over 900,000 monthly active users across nine markets, and we intend to scale the platform across several more markets in 2021. Most importantly, our customers love the platform, giving us an NPS 18 points higher than those who are not yet transacting with us digitally. We are optimistic about the potential for BEES to truly transform our customer relationships and our business. Our direct-to-consumer, or DTC, e-commerce platforms across the world gives us the ability to reach consumers in new, more convenient ways while providing us with valuable data on evolving consumer trends. In 2020, we saw a significant step change in adoption of our DTC platforms as consumers turn to e-commerce in an environment of social distancing. Orders through our more than 20 proprietary D2C e-commerce platforms increased nearly tenfold in 2020, and we’re leading e-commerce in the beer category in key markets such as China through strategic partnerships with global e-retailers. 2020 also pushed us to find innovative ways for our brands connect with consumers when traditional channels, such as concerts and sporting events, were unavailable. Our in-house marketing agency, DraftLine stepped up to the challenge by creating consumer-first experiences, such as our "lives" online concert series in Brazil. "Lives" successfully activated our top brands and innovations in the country such as Brahma Duplo Malte, delivering over 350 concerts and attracting 678 million views in only 12 weeks. We have seen that these innovative activations meaningfully contribute to increased awareness and trial of our products, helping us to outperform the market. Moving on, I’d like to spend a few minutes discussing the advancements we have made on our Better World agenda, starting with an update on our smart drinking initiatives. We’re committed to meaningfully reducing the harmful consumption of alcohol. Our commitment to apply smart drinking guidance labels on the primary packaging of all of our beers is the largest such effort ever undertaken in the world by any single beer, wine or spirits company. Today, 81% of our beer volume across the 28 countries in scope already includes a smart drinking guidance label, and we plan to reach 100% this year. Additionally, we shared the United Nations Sustainable Development Goals, the SDGs, ambition to reduce road traffic injuries and deaths by 50% by 2030. Together with the United Nations Institute for Training and Research, UNITAR, we launched the Management Practice for Safer Roads Toolkit in 2019. We developed this tool kit based on the data-driven approach and piloted it in São Paulo, bringing road fatalities in the city down by 16% from 2015 to 2019. In 2020, we renewed our partnership with UNITAR for two more years. In 2018, we launched our 2025 Sustainability Goals, our most ambitious goals yet. They aim for holistic environmental and social impact to drive transformational change across our value chain. Our goals are closely aligned to the United Nations SDGs as we believe private sector companies have a responsibility to contribute to solutions for some of the world’s most pressing issues. In 2020, we continue to make progress towards our goal that 100% of our direct farmers will be skilled, connected and financially empowered. We have been featured in Fortune’s "Change the World" List for the second consecutive year for our work with farmers in the development of agricultural technology to build strong global supply chain. We’re also measuring improving water availability and quality for high stress communities. In 2020, we achieved an industry-leading water use efficiency ratio of 2.7 hectoliters of water per hectoliter of beer across all of our brewery sites and retained our place in CDP’s Water A list as the leader in corporate water stewardship. Even though our progress in circular packaging was affected by COVID-19, we continue to champion a circular economy. By developing partnerships with our suppliers and through the 100+ Accelerator, we’re building and strengthening the local recycling ecosystems. Today, more than 74% of our volume globally is in majority recycled content or returnable packaging. Climate change has far-reaching impacts on our business and the communities where we live and work. We have committed to transitioning to 100% purchased electricity from renewable sources by 2025, and we have already contracted 70%. To help us achieve our ambitious sustainability goals, we launched the 100+ Accelerator in 2018 to find partners who can deliver breakthrough advancements in water stewardship, farmer productivity, circular packaging and more. Since then, the Accelerator has worked with 36 start-ups in 16 countries to innovate for sustainable impact and to achieve our 2025 Sustainability Goals. In 2020, we launched our second cohort and concluded the pilots with a virtual demo day that attracted nearly 400 participants. I’m also happy to share that today, we released our inaugural ESG report now available on our website. The report provides our stakeholders with greater visibility on how we have been working to fulfill our commitment to building a better world. With that, I would like now to hand it over to Fernando. Fernando?
Fernando Tennenbaum: Thank you, Brito. Good morning, good afternoon, everyone. I hope you are all safe and well. To continue where Brito left off, I would like to highlight how we are bringing the sustainability and corporate finance worlds closer together. Let me share you an achievement of which I’m personally proud as a CFO and as a founding member of the United Nations Global Compact CFO Task Force. Last week, we announced the successful signing of a new $10.1 billion sustainable-linked revolving credit facility. We are excited by the further integration of sustainable finance principles into capital markets and welcome the opportunity to embed this practice deeper into both our finance organization and the broader company. As the world’s leading brewery with a vast global reach, it is important that we set the example and play a leadership role in addressing the increasing threats of climate change. Now let me update you on the financials. Our underlying EPS this year, defined as our normalized EPS, excluding the impact of mark-to-market related to the hedging of our share-based payment programs and the hyperinflation accounts in Argentina, decreased by $1.12 from $3.63 to $2.51. The decrease was mainly driven by lower normalized EBIT due to the impact of COVID-19 on our performance. Even though, 2020 brought unexpected challenges, we continue to proactively manage the factors within our influence to maintain prudent liquidity during an uncertain time, while supporting the long-term growth of our business. We started 2020 with a strong liquidity position that yielded a healthy risk profile. Throughout the year, we undertook a series of liability management initiatives that further derisked our balance sheet while creating value. We reduced our gross debt with maturities over the next five years by approximately $18 billion and extended our weighted average maturity by more than two years. Our liquidity position remains higher than usual in light of the ongoing uncertainty. At the end of the year, our total liquidity position was approximately $24.3 billion, consisting of the $9 billion undrawn revolving credit facility, RCF, and $15.3 billion of cash, more than sufficient to cover our bond maturities through 2026. As you see on Slide 30, our bond maturities are well distributed across the next several years, and recent redemptions considerably reduced our obligations for the next five years. As a reminder, we do not have any financial covenants on our entire debt portfolio, including our new sustainability-linked revolving credit facility. Our pro forma bond portfolio as of February 2021 remains largely insulated from interest rate volatility as approximately 96% holds a fixed rate. Furthermore, the portfolio is comprised of a diverse mix of currencies, with 56% denominated in U.S. dollars and 33% in euro. We have further extended our weighted average maturity to more than 16 years. Finally, we continue to have a very manageable weighted average coupon rate of approximately to 4%. I will now take you through our capital allocation priorities. The first priority for the use of cash is to invest behind our brands and to take full advantage of the organic growth opportunities in our business. Second, deleveraging to around a 2 times net debt-to-EBITDA ratio remains our commitment, and we will prioritize debt repayment in order to meet this objective. Third, with respect to M&A, we always be ready to look at opportunities when and if they arise, subject to our strict financial discipline and deleveraging commitments. Our fourth priority is returning excess cash to shareholders in the form of dividends and/or share buybacks. To reiterate our first capital allocation priority is and remains the organic growth of our business. Our teams have shown incredible agility this year, significantly reducing discretionary expenditures in the first half of the year, but then be working quickly to invest as the environment began to improve. We will continue to manage our capital with a long-term mindset managing our resources effectively to drive future growth. And with that, I'll hand back to Maria to begin the Q&A session.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Trevor Stirling of Bernstein.
Trevor Stirling : Hi, Brito and Fernando. So two questions on my side. The first one is, if I look at margin, I appreciate there's a lot of pressure coming down the pipe in terms of raw materials and transactional FX, I guess, particularly in Brazil. But also, hopefully, there'll be some very easy comps on channel and pack mix and COGS per hectoliter, from that angle. So if you look at the net of all that's going on, do you think you can recover some of the margin compression in 2020 – sorry, in 2021 versus 2020? And the second question, a follow-up regarding the effective tax rate. Fernando, you said that they – it's likely to go up in 2021. Have you – can you give us any indication of the scale of how far it could go up? I mean I appreciate there are many moving parts here. But is it like a percentage point roughly similar to what we saw in the previous year? Or could it be significantly more than that? 
Carlos Brito: Thank you, Trevor. I'll take the first one. Fernando will take the second one. In terms of margin, what we said in our outlook is that based on what we know today and also based on the fact that this outlook is for the year – exclusively for the year 2021, okay, that there's much – still a lot of uncertainty due to the COVID-19 pandemic. But there are two factors for which we have a high degree of certainty. The first one is that due to our 12-month forward hedging policy, we have good visibility, of course, in our transactional FX and commodity exposure for the year 2021 and, therefore, the expected headwinds in some of our major markets, as you said mostly Brazil but also, I'd like to say, Mexico and Colombia as well. So our hedging policy of 12-month rolling period gives us time to react. But also means that the pressure we have on FX in Brazil, for example, in 2020 will be felt in 2021. So there will be a delay, and that's always the case. The second factor that we have a high degree of certainty is that in light of the COVID-19 restrictions, we expect to continue facing adverse channel and packaging mix in some regions. Of course, when these restrictions ease, there – this will be good news for margins. Just to give you one example, Trevor, the cost of sales in Q4 for us, that was 6.4% on a per hectoliter basis. 50% of that increase was COVID-related in terms of restrictions because of channel, brand, pack and regional dislocations in terms of mix. On the other hand, I'd like to say that our industry-leading margins gives us flexibility to weather the short-term volatility without having to make any short-term decisions that could harm the long term of our business. And I see this because we have momentum as we finish the year. But remember that in H2 last year, 2020, our volumes grew north of 2%, and we ended the year with good momentum, gaining share included in many of our key markets. So what showed to us is that the portfolio – the strength of our portfolio and the growing digital platforms we have with the customers and consumers were really key during the pandemic. It will continue to be key. And finally, at the end of the day, we look at margins in combination with absolute dollars. Of course, everything has to be taken into context. Both are very important, margin and absolute dollars. But if I had to choose one of the two, I would take dollars because that's what you take to the bank. So with this in mind, it's important to remember that in our outlook, we also stated that we expect our top and bottom line results in 2021 to improve meaningfully versus 2020. So yes, we said margins would be under pressure, but we also said the bottom line and top line would be meaningfully ahead of 2020. And again, as you said, it will all depend on how fast restrictions ease. 
Fernando Tennenbaum: And Trevor, Fernando here. On your questions on ETR. In 2020, our typical ETR was heavily impacted by country mix relative speed of different markets recovering. Although this was somewhat partially offset by some favored temporary COVID-19 measures by different governments. So in 2021, we will still face the impacts from items such as country mix, while some of the temporary COVID-19 measures will phase out. And on top of that, we will have some changes to legislations and tax attributes in some key markets that will lead to a higher ETR than 2019 and 2020.
Trevor Stirling: Can you put any sort of range on that scale of that potential increase in tax, Fernando?
Fernando Tennenbaum: At that moment, given that there are still some uncertainties and depends on how each one of the markets, which have different tax rates perform, it’s very hard to be so precise to you on putting a number out there. We expect it to be higher, but that’s as much as I can go.
Trevor Stirling: Okay. Thank you very much, Fernando.
Fernando Tennenbaum: Thank you, Trevor.
Operator: Our next question comes from the line of Edward Mundy of Jefferies.
Edward Mundy: Good morning. Afternoon, everyone. First question, Brito, is – I appreciate you don’t have any crystal ball on how quickly restrictions ease, but could you perhaps talk about what gives you confidence for meaningful top line recovery in 2021? And what are your areas of caution at this early stage in the year? And then the follow-up question is really around margins again and the journey back to pre-COVID margins. As Trevor highlighted, as the on-trade comes back, you should get benefits to revenue per hectoliter from pack channel and product mix. And even on COGS, some of those tailwinds – or some of the headwinds on packaging and channel mix will also reverse. Do you think it’s realistic to get back to pre-COVID margins as we get through the pandemic?
Carlos Brito: Well, a couple of things here, Ed. Thanks for the question. In terms of top line recovery, what gives me confidence is that, of course, we’re going to have H1 and H2 are going to be different. H1 will be an easier comp, H2 more of a tough comp. But when you look at – yes, so when you look at the Q1 and the way we finished last year, when you put the two together, we finished last year with momentum. And of course, the year 2021 will depend on lots of things like restrictions, government incentives to consumers and all that. But if you look at countries like Brazil, we’re off to a good start in terms of top line momentum, led by 10% beer volume growth so far this year in Brazil and a healthy net revenue per hectoliter performance. Okay. If you look at Mexico, despite the second wave of the pandemic, we are fully operational, and we see good underlying demand. In Colombia, the on-premise channel has been heavily restricted but is being reopening gradually since the beginning of the second half. And there are also some spikes in COVID cases, but now in a better place. And so – but again, good underlying demand. In the U.S., there was some cold weather. We have some continued high case, but the curve is coming down, so we’ll see. But the U.S. off-trade is very important, doing well. South Africa, we had an alcohol ban in the first half, I mean, in January. But now since February 2, we see solid underlying consumer demand, so that’s good news. Western Europe will continue to have impacts on volumes given the on-trade restrictions. In China, the Chinese New Year this year, people couldn’t travel as much, and that benefited our coastal regions where our mix tend to be more premium. So I would say the volumes and net revenue per hectoliter in China are very much according to our expectations. So that’s what gives us confidence on this momentum that we finished last year translating into momentum into this year, to your first question. And in terms of margins, I couldn’t recall exactly what the question was, Ed, sorry.
Edward Mundy: Question was really around – not trying to get margin guidance for 2021. But as you get to the other side of pandemic, is it feasible to get back to pre-pandemic margin highs?
Carlos Brito: Yes. Again, on margins, as I said, I mean, some things you control, some others you do not control. So as the restrictions tend to ease, we believe that some of these impacts are short term in nature, right? So the restrictions, the channel shift, all these things are not structural. They are short-term in nature. So the good thing is that our high margins gives us the flexibility to be able to react in a way that doesn’t harm our business long term because, again, we have momentum. And again, we have to look at margins and absolute dollars at the same time. And if we have momentum, if volume is growing, if we’re gaining share, if there’s volume leverage on our P&L, I mean, we have to be smart on now to recover that margin. So because at the end of the day, absolute dollars is what we take to the bank. And let’s remember, again, everything we said in our outlook for 2021 in terms of margin pressure is exclusively for 2021.
Edward Mundy: Thank you.
Operator: Our next question comes from the line of Sanjeet Aujla of Crédit Suisse. Sanjay make sure you are not on mute.
Sanjeet Aujla: Can you hear me? 
Carlos Brito: Yes.
Sanjeet Aujla: Hey, Brito and Fernando. A couple of questions please. Can you just talk a little bit about the pricing outlook, particularly across your emerging markets in the context of the transactional currency headwinds that you face? How are you using perhaps pricing as a lever to kind of manage through that, particularly in those most impacted markets, such as Brazil, Mexico and Colombia? 
Carlos Brito: Well, what we do in terms of pricing. First, of course, we look at the context. We look at the macro context. We look at consumers. We look at the whole environment. So it's a very regional decision. But if you look at Brazil, for example, where we had a very strong net revenue growth in the fourth quarter of around 8%, what happened there is that a couple of things. First, we started pricing to recover inflation in the late third quarter. So that impacted the fourth quarter, and we phased that price increase per channel per region per pack. So that was the first thing. The second one is that we went much more efficient in our promotional activity, given much – not only more data we have about the trade given our platforms, but also given strong demand. So our promotional activities were more efficient. And finally, brand mix helped us big time. Brahma Duplo Malte, for example, was the biggest innovation in our company's history. That's a core plus brand. Also our premium brands did well, and that all helped the mix of net revenue per hectoliter. So again, those are the factors that will continue to manage to balance – to get the balanced top line going forward. 
Sanjeet Aujla: Got it. And just a quick follow-up on BEES. You spoke a lot about the sort of quick adoption in a number of markets. Ultimately, what's the biggest opportunity with BEES in your P&L? Is it driving more premium assortment? Is it helping you sell more beer? Is it taking – helping market share dynamics? How should we view the impact of that on your business as we get even further adoption from there?
Carlos Brito: Well, the thing about BEES is that it not only make the life of our retailers better, but also because we have way more data, we can be more efficient in our relationship with our retailers. So, we can offer them what's more of interest to them given their profile. We can have promotions that are more tailored to the kind of portfolio and assortment and customers and consumers they serve in their retail outlet. And we can have a lot of optimization machines, optimization engines and algorithm behind the BEES ways of working because of all the data we have access to. So from pricing optimization, to assortment optimization, to the suggested order, so all these things make our customers more efficient, more productive and our relationship better. 
Sanjeet Aujla: Thanks.
Operator: Our next question comes from the line of Olivier Nicolai of GS.
Olivier Nicolai: Hi, Brito and Fernando. Just a quick follow-up, first on the commodity headwinds and transactional effects in 2021. We obviously know the impact in Brazil, and you mentioned it, so that's very clear. But perhaps, can you tell us which other region you see the most significant COGS per hectoliter increase or either across the board? And for the – aside from Brazil, if you think about some regions like Mexico or countries like Mexico, Colombia, can you tell us what percentage of your COGS being linked to hard currency? And then second question for Fernando. Obviously, the company, you have a commitment, two times net debt to EBITDA. I assume you will get there mostly organically, of course. But how should we think about disposals going forward? Should we essentially assume that type of deal that you've done with Apollo for instance, was a one-off? Or could we expect ABI to sell more minority stakes going forward as well? Thank you.
Fernando Tennenbaum: Hi, Olivier, it's Fernando here. So on your question on cost of goods sold, if you look Brazil, Mexico and Colombia, it's nearly 50% of our cost of goods solds effectively in dollars. So you expect, of course, these countries to be mostly impacted. And as Brito mentioned, the impact that we have in 2021 is a function of the currency devaluation in 2020. So for you to see what countries are mostly affected is just to check which countries had the biggest devaluation and in this case it was Brazil when you compare Brazil to Mexico and Colombia. So all countries affected, but Brazil to a much higher extent. On commodities, the commodities that are affecting us is mostly corn and barley. So these are the commodities that is going to have a greater impact in 2021. On your second question about leverage, we – the leverage to around two times remains our commitment, and we've mentioned that several times. And we prioritize debt repayment to get to this objective. 2020 was a unique year because since we had our performance materially impacted by COVID-19, the net debt to EBITDA ratio ended up going higher in 2020 than 2019, which is not something we would expect in a normal year. So to start off 2020, we had a very strong liquidity position in the beginning of the year and that you did have a very, very healthy risk profile. During the year, we undertook a series of liability management that ensured that we had even further de-risked our balance sheet. We reduced our gross debt with maturities over the next five years by nearly $18 billion. And we also extended the average maturity by more than two years. Regarding disposals, we are always reviewing our asset base to identify noncore assets that can be divested as part of our normal business operations. And we are always going to be evaluating opportunities to drive long-term growth and value creating for our business. This was the context in which we entered into a partnership with Apollo Global Management, where Apollo acquired a 49.9% minority stake in our U.S. packaging operations. Why? I believe a key message here is that our debt portfolio has a very manageable maturity profile and liquidity – and coupon. And we are in a very strong liquidity position to the point that today, we have enough cash on hand to cover our matures throughout 2026. So any deleveraging decision, any disposal decisions are always going to be made with the context of that must be something that brings value to the company, which was the case in the U.S., the sale of the minority stake in the U.S. packaging operating. Because from a liquidity standpoint, we are in a very, very comfortable position.
Olivier Nicolai: Thank you very much.
Operator: Our next question comes from the line of Pinar Ergun of Morgan Stanley.
Pinar Ergun: Hi, thank you for taking my questions. The first one is, how do you expect the Brazil beer market and the competition to evolve following last night's announcement of a redesigned distribution partnership between Heineken and the Coke system? And the second question is, last year, trade payables have moved up a bit despite sales coming under pressure. Could you please give us a bit more color on this? And how you would expect payables and working capital in general to evolve in 2021?
Carlos Brito: All right. Pinar, I'll take the first one. Fernando will take the second one. Well, Brazil has always been a very competitive market with many players. That has always been the case. Yes, we heard the announcement yesterday. Well, it doesn't change the number of route-to-market players in Brazil. It's still the same number. It's just a reshuffle of brand in between two systems. So, it’s too early to say. We're always very respectful of any competitor move, but it's good to see that we have momentum in Brazil. Last year, we gained share for the full year and fourth quarter, that we had the biggest innovation in the market with our Brahma Duplo Malte, that our high-end brands outperformed the overall market, and that our core brands stabilized in a big way. So we're very happy with our performance in Brazil. We're focused on our business and will remain doing so. So again, Brazil has always been very competitive. Fernando?
Fernando Tennenbaum: Hi, Pinar. On the working capital, there is not much into it, not much different than we’ve always been doing. Especially in a year, there is more challenging, there is more volatility, that's where normally you see the ownership mindset rising up to the occasion. But it has to do normal drivers, country mix and cans have some impact on that, because you have a higher mix of cans. So, this has an impact, but nothing out of the ordinary there.
Pinar Ergun: Thank you.
Operator: Our next question comes from the line of Nik Oliver of UBS.
Nik Oliver: Hey, thank you for the questions. Just two from me. Firstly, on the North America margins in Q4, obviously under some pressure despite the strong revenue per hectoliter. And you flagged phasing of sales and marketing and some supply chain pressures. Is it possible to break this out just to help us think about our kind of quarterly modeling as we go into this year? And then the second one was just in regards of the Brazil tax credits, clearly, a welcome boost to the P&L. But I know like going into this year, InBev was sitting on some quite big off-balance sheet contingencies. So given the outcome, is that situation now resolved? Or potentially, could there be some liabilities that would still be absorbed in the income statement going forward?
Carlos Brito: Nik, I'll take the first one, Fernando will take the second one. In terms of North America, what happened in Q4. So first, let me say that the U.S. had an amazing year last year. If you look at STRs, we're almost flat at minus 0.2% in an industry that was flat. Share was – we lost but only 5 bps, and our net revenue grew – net revenue per hectoliter grew by 2.6%. So very healthy and at a margin at the end, for the whole year of 40.4% EBITDA margin. What happened in the fourth quarter is that we had some cost pressures that are not structural, and I will go through three of them. The first one, you said it's phasing of sales and marketing. What happened is that during the year, as the year started very volatile, we took some money out of sales and marketing, especially related to the on-trade because that was shut down. But as the market recovered, we put that money back into the market towards the end of the year, so that's the phasing we refer to. The second one is the can cost. As COVID dislocated consumers to more off-trade and more cans, there was a short supply of cans in the market, and we also had to bring cans from other countries, like Mexico into the U.S. and other countries. So there were more logistics costs involved in moving cans around, so that can cost also impacted. And at the end, the whole over-the-road transportation costs in the U.S. was up because all consumers were using heavily e-commerce, and that put a cost pressure on trucks and lanes. So I would say that the can costs will continue to be under pressure for 2021. But if you take the can costs and the OTR cost, the over-the-road cost, those are not structural costs. They will tend, at some point, to get streamlined. So again, those are the reasons behind Q4 costs. Fernando?
Fernando Tennenbaum: Hi Nik, Fernando here. Now this tax credits were only related to one specific judicial decision, which is the exclusion of the value-added tax, which ICMS in Brazil formed the taxable basis of the social contribution on gross revenues with PIS and COFINS and doesn't link to any other legal disputes or legal matters that are still ongoing in Brazil. So it's just this specific case. It was a Supreme court decision back in 2017. And as we were able to get some legal – we have some – we're able to get the approval from the legal court to recognize this. We are recognizing, and we've done that in the fourth quarter of last year.
Nik Oliver: Okay, perfect. That’s really clear. Thank you guys.
Carlos Brito: Thank you, Nik.
Operator: Our next question comes from the line of Priya Ohri-Gupta of Barclays.
Priya Ohri-Gupta: Hi, thank you so much for taking the question. Two if I may. First, I was hoping that you could provide some context to us on how we should think about your cash balance. And when it can be brought down over the course of the year, just given how elevated it is? So if you could specifically highlight for us what you're looking for in terms of the external environment to give you greater confidence to bring that down, particularly given the expanded RCF availability? And then second, I was hoping that you could shed some light for us on how to think about the dividend going forward, particularly in light of where the current leverage is and possible timing to get to an interim leverage objective of closer to 3 times. Thank you.
Fernando Tennenbaum: Hi Priya, thanks for your question. On the cash balance, this is a free decision. We are going to be managing almost like day-by-day, month-by-month. If we see how we behaved in the past, during the peak of COVID when there was a lot of uncertainty, we really stepped up our cash balance. That's the moment that we did the issuance in the beginning of last year. And then we also received the proceeds from Australia. Once we start seeing the underlying performance of the business getting better, we start deploying some of this cash. We started doing some redemptions. The cash at year-end was actually is actually higher than we wanted to as a function of the transaction, the packaging transaction in the U.S., the minority stake. But as soon as we receive the proceeds, we already deployed them to redempt more maturity. We announced that in January, and we already redeemed more $3 billion of maturities. And that's how we're going to be managing, but if we start seeing the business, if you start seeing all the uncertainty about COVID going away – because from a business standpoint, we are quite strong. But once we start seeing the external uncertainty going away, the idea is that we'll go back to a more normal cash balance compared to the ones we had during the prior years. So that's the first – your first question. On the second question about the dividend. We made the decision for this year. Our Board determined that it would be prudent and in the best interest of the company to pay a full year dividend of EUR 0.50. As I mentioned, the business delivering improving results, but there is a lot of uncertainties out there because of COVID. So we thought this was a prudent decision and consistent with our financial discipline and prioritize our deleveraging commitments. So at the end of the day, this is what I have to say. We are not going to give any guidance on future dividends growth, because of the fluid of the current situation. So we're going to have – wait to have more color to provide any further view on that.
Priya Ohri-Gupta: Thank you. And I guess just one follow-up. Any sense of timing you could give us around the trajectory to get closer to 3 times leverage as you make your way towards that ultimate 2 times full? Thank you.
Fernando Tennenbaum: So we are not giving – given what I just said that how fluid the current situation is, we are not giving any guidance on that as well.
Priya Ohri-Gupta: Thank you.
Fernando Tennenbaum: Thank you, Priya
Operator: Our next question comes from the line of Alicia Forry of Investec.
Alicia Forry: Hi, Brito. Hi Fernando. Thanks. Two questions from me, actually both ESG-related. First one, is there anything you can tell us about the impact of the new sustainability-linked RCF on your overall finance costs going forward? What type of benefit might we expect to see if you're able to improve those targets? And would you consider expanding your green financing beyond RCF, perhaps to bonds or other fixed-term debt in the future? The second question is on South Africa. They banned the sale of alcohol during parts of 2020, essentially the government saying it considers alcohol a burden on the health system. And now it's raising excise on alcohol. So my question is, how are you engaging within your organization with consumers, with the health care system there and the government in South Africa to improve the impact of alcohol on society there to avoid these bans, hopefully, from happening again in the future? Thank you.
Fernando Tennenbaum: Alicia, I'm going to take the first one and then Brito is going to take your second question. We were actually quite excited being able to do such a large sustainable-linked loan. We – at the end of the day, we, as a company, sustainability is our business. We've been talking about that for a long time. And nothing more obvious that, given how important it is for us, we reflect that in our financing. So this was the first step. We are, of course, open and we entertain exploring more sustainability finance, but nothing to share on this topic right now. We didn't disclose the full details of the financing, but by delivering on our targets, we have a cost benefit, of course. And if we don't deliver, there is a cost penalty. But as I said, sustainability is our business, so we are very committed to delivering on these targets. So I'm now going to hand it to Brito for his – for the second question.
Carlos Brito: Yes. So in terms of your second question, I mean, our top priority remains during the whole COVID and still is the case, the safety and well-being of our people and the communities in which we operate. And we've been very close to the government and community in South Africa, trying to collaborate with the government on meaningful, lawful measures to combat the pandemic, such as curfews, capacity restrictions in restaurants or taverns, limiting trading hours for the off-trade. We think all that is – could have a role to play. But what some groups in South Africa tried to link is that the mobility was solely restricted and people had to stay home and nobody could go anywhere. And alcohol ban on top of that, people try to link the fact that accidents on roads went down to alcohol as opposed to lack of mobility. In other places in which lack of mobility was the case but alcohol was still being sold, you saw that things went down not because of alcohol but because of lack of mobility. If you don't have cars in the road, you won't have accidents. So – and we believe that the complete bans on alcohol sales significantly damage the South African economy and society at large because you have 1 million livelihoods at stake throughout the alcohol industry supply chain and value chain. And what you do – whenever you do these alcohol bans is that you entrench the illicit alcohol trading with risks to consumers and with devastating consequences from both a health and economic perspective. Because the government is also not collecting taxes, and consumers and are consuming safe alcohol beverages. So in terms of excise, excise tax was increased this week. That was higher than inflation, almost double inflation. And this is in direct contradiction with the government's current alcohol excise policy, which is to increase excise in line with inflation. So we were quite surprised by that. But again, we'll continue to work closely with the government to help the South African community and our consumers to get to a better place. But with measures that really are connected to root causes and not unlawful measures. And we'll continue to be part of the solution because we need that community to get to a better place because we are part of it. Thank you.
Alicia Forry: Thank you very much.
Operator: Our next question comes from the line of Andrea Pistacchi of Bank of America.
Andrea Pistacchi: Yes, hi. Good morning, Brito. Good morning, Fernando. So two questions, please. The first one is on the U.S. Now one of the main drivers of your better volume performance in the U.S. has been the growth in beer adjacencies. We've talked about – a lot about hard seltzers. Can you maybe talk a bit about Cutwater and Babe, which could be important contributors? How large are these brands now? And what are the plans to scale up these brands? And then for Fernando, on the tax rate, sort of a longer-term thought on the tax rate. It's quite high in the context of global FMCGs. I mean your tax rate has gone up quite a bit in the past five, 10 years. Is there – the question is, do you see a path to reducing the tax rate over time longer term as you deleverage? I mean at the moment, obviously, you're not benefiting in the U.S. from the low corporate tax there because of your leverage. But could this change as you deleverage?
Carlos Brito: Hi, Andrea, Brito here for the first one. In terms of the U.S., we had a very good year and this is the third year that our commercial strategy has been implemented in a very consistent way. And the growth is not only because of adjacencies, it's also because of the other four priorities, adjacencies being one of the five. It's about Michelob ULTRA growing ahead of 20%. It's about seltzers growing double what the category is growing. It's about the high end gaining share within the total segment. It's about mainstream stabilizing. And it's about beyond beer, like Cutwater. Cutwater, for example, growing twice the growth of RTD cocktails. So in terms of beyond beer strategy in the U.S., we have winning with the seltzer space is the prime driver. And for that, we have new news on Ultra Organic Seltzer, Bud Light Seltzer Lemonade and cacti for this year, 2021. We also want to continue to disrupt the canned wine and spirit segments, and that's a key driver; innovating in F&B white spaces, like Kombrewcha; and capture opportunities in also non-alcohol segment like Ghost and Super Coffee. So it also – we have our Drinkworks appliance business in partnership with Keurig. So again, beyond beer is one of the drivers of the U.S. It had a very good year, but there are five commercial drivers, that all five contributed to that growth. Thank you. So Fernando?
Fernando Tennenbaum: Hi, Andrea. So we're not giving guidance on the effective tax rate for the years to come. So we only said that it's going to be higher this year than it was the previous year. And the major thing you need to look at our effective tax rate is the country mix. Because you mentioned the U.S., which has a 21% effective tax rate; but we also need to take into account all other markets, like Brazil is a 34% tax rate, so different markets have different tax rates. And the country mix and how the different countries grow over time plays a big role on our combined EBITDA. But no guidance for the next few years.
Andrea Pistacchi: Okay. Thank you.
Operator: And our final question comes from the line of Rob Ottenstein of Evercore.
Rob Ottenstein: Great. Thank you very much. Two questions also. So for Brito, clearly, one of the lingering effects of COVID has been acceleration of e-commerce and the use of digital technology. And most companies – consumer companies that we all follow talk about digital technology as a way of engaging with consumers, as being more targeted, more customized as well as getting to know what is working and what is not working in a much more efficient way than in traditional media. So the question is, can you give us maybe a sense of your balance now between traditional media and digital media in terms of marketing? Second, do you agree with that assessment in terms of it being more effective? And then finally on that topic, does that give you confidence to spend more because it's going to be more effective? Or because it's more effective, can you perhaps budget less? So that's my question for you, Brito. And then for Fernando, much more simple question. If you could talk a little bit about the increase in CapEx and where that's going? Thank you.
Carlos Brito: Hi, Robert, thank you for the questions. So in terms of this year 2020, we were – one positive, one silver lining in which – in a very tough year was that our digital platforms that we have been investing for now five years have really – the rate of adoption has really increased big time. So three things I want to say, Robert to your question. First, we've been developing our B2B platform, called BEES, that really takes the relationship with our 6 million customers that we service on a weekly basis around the world to a different level. So today, we have more than $3 billion in gross in GMV in this platform and more than $2 billion was only delivered in the fourth quarter. So you see that it continued to grow exponentially. We have close to 1 million users, monthly users across nine markets and this continues to grow. And this has allowed us to use much more data and personalize and customize the relationship to be more relevant to our customers. So this is going to transform our business and our sales systems. The second one is the direct to consumer platforms, and one of them, for example in Brazil called Zé Delivery, that delivered beers to your home in half an hour cold at supermarket prices at your doorstep, that came from 2019 when they handled 1.5 million orders to 2020 where they handled 27 million orders. And the rating of the app has been 4.9 out of 5 by our consumers, despite the big scale up that we observed in 2020. And finally, the third lag is what you're saying, this whole idea of getting closer to our 2 billion consumers that we service on worldwide. I mean, in Brazil, we did lives that were very important since consumers were in lockdown. And we started talking directly to them using our music towards the workout people, everybody that could provide content and entertainment to consumers at home. We did 350 concerts, and we had 678 millions views in 12 weeks, all that activated by our internal agency called draftLine. So we're trying to be ever more into the one-to-one conversation with our consumers and draftLine has a big role to play and data has a big role to play. Yes, we've been spending more and more of our media money in digital programmatic media. But I don't think the numbers are public, but you can be sure that we are spending more and more each year because it's more efficient, because it’s more targeted, and because it’s what consumers want, they don't want many, they don’t want the traditional media, or at least a lot of the consumers don't want that traditional media that get shouted at, they want something they can talk to and something that's relevant to who they are and data allows you to do that. So, yes, oldest platforms that we've been investing since the GX was founded in 2015, scaled up in a big way in 2020, and becoming very, very meaningful for us. Thank you.
Fernando Tennenbaum: And hi, Robert, on your question on CapEx at the end of the day, if you see where we are coming in, where we are going, you remember that when we were discussing in the first half of last year, we ended up suspending or cascading some non-committed CapEx, because there was some uncertainty to the moment that we turned over to the second half and we saw the business performing well. We wanted to follow the momentum and we invested accordingly. And the guidance for this year is all continued confidence on the business that we want to continue to follow the momentum and investing behind the growth. So that's the rationale behind the $4.5 billion to $5 billion next CapEx guidance for this year.
Rob Ottenstein: Thank you.
Carlos Brito: Thank you.
Operator: And that was our final question.
Carlos Brito: So if there are no more questions, so let me say thank you, Maria; and in closing in an extremely challenging year, our teams rose to their occasion. We finished the year with good momentum in our key markets. We are now even more closely connected to the 6 million plus customers and 2 billion plus consumers we serve worldwide, through our clear commercial strategy, best-in-class brand portfolio, revamped innovation process, digital platforms and ongoing operational excellence. 2020 reinforce our confidence in the future potential of the beer category and our business. I'd like to end our call by saying thank you. Thank you to everyone on the frontlines for their commitment to keeping us safe. And thank you to our teams around the world. You inspire me every day, and I'm so proud to be your colleague. Thank you for joining the call today. We hope all of you stay safe and well, and we hope to celebrate a strong recovery over a beer soon. Thank you.
Operator: Thank you. This does conclude today's earnings conference call and webcast. Please disconnect your lines, and have a wonderful day.